Operator: Welcome to the Greenbrook TMS Inc. FY 2022 Results Conference Call and Webcast. All lines are currently on mute to prevent any background noise. I would like to remind you that this conference call is being recorded today and is also being webcast on the company’s website at www.greenbrooktms.com under the Investors section, Events. After the speakers’ remarks, there will be a question-and-answer session. Analysts and investors are reminded that any additional questions can be directed to the company at investorrelations@greenbrooktms.com. This call contains forward-looking statements, which reflect the current expectations or beliefs of the company based on current -- currently available information. Forward-looking statements are subject to a number of risks and uncertainties that may cause the actual results of the company to differ materially from those discussed in the forward-looking statements. Factors that could cause actual results or events to differ materially from current expectations are discussed in the Risk Factors sections of the company’s annual report on Form 20-F for the fiscal year ended December 31, 2022, and the company’s other materials filed with the Canadian securities regulation authorities and the U.S. Securities and Exchange Commission from time-to-time. which are available on SEDAR, EDGAR, on the company’s website. Any forward-looking statement speaks only as of the date on which it is made and the company disclaims any intent or obligation to update any forward-looking statements unless required by law. And now I would like to turn the meeting over to Mr. Bill Leonard, President and Chief Executive Officer of Greenbrook TMS; and Erns Loubser, Chief Financial Officer. Please go ahead.
Bill Leonard: Thank you, Operator. And thank you to everyone for joining our conference call and webcast today. During fiscal year 2022, we added significant operating scale and topline growth to the business. We are now focused on the execution of the recently announced restructuring plan to leverage our scale with the goal of further reducing complexity, streamlining our operating model and drive operational efficiencies to improve our cash flows and ultimately achieve profitability in the future. During Q4 2022, we continued the ongoing integration of Success TMS, including the convergence and overlaying of the best-in-breed processes such as the Success TMS marketing and intake process. We are very excited about the record highs in the forward-looking indicators in Q3 2022 going into Q4 2022 from these efforts. Unfortunately, this pipeline did not translate into expected proportionate ramp-up in new patient starts impacting the expected revenue ramp and cash collections, which ultimately put the stress on the company’s liquidity position late in Q4 2022 and early into Q1 2023. Despite this turbulence, we believe the key lessons learned in Q4 2022 was catalyst -- was the catalyst for the restructuring plan, which will allow us to utilize resources more efficiently and reduce the business cost structure to operate profitability. We are very excited about the ongoing rollout of Spravato program, where we have now more than tripled our footprint during fiscal 2022. This program supports our long-term business plan of utilizing our existing network of treatment centers to deliver new and innovative treatments to patients suffering from MDD and other mental health disorders. We believe our leadership position and nationwide footprint continue to serve as a valuable platform to bring the needed help to patients. As at December 31, 2022, the company has expanded its offerings to Spravato to 42 TMS centers across the U.S. As previously announced, the company has embarked on a comprehensive restructuring plan aimed at decreasing our footprint by 50 treatment centers and focusing operations to the company’s most profitable treatment centers across the United States. The purpose of this restructuring plan is to address liquidity concerns and allow us to achieve sufficient cost savings to satisfy operating cash requirements, debt obligations and remain in compliance with our debt covenants. We expect that restructuring plan will streamline patient engagement and delivery care while reducing facility and logistical overhead. We also expect that restructuring plan will enable Greenbrook to concentrate marketing spend on more effective outreach, while continuing to deliver quality care to patients in all of its current core markets. As of the date of this press release, the company has realized approximately $17 million in annualized recurring cost reductions through a significant reduction in headcount and by optimizing marketing spend through key learnings from the company’s Q4 2022 marketing efforts. The company will also continue to reduce recurring corporate, general and administrative expenses. These savings will be fully reflected starting late Q2 2023 going into Q3 2023 as the costs related to executing these savings dissipates. We believe we remain on track to achieve the previously announced target of $22 million to $25 million in cost reduction once the restructuring plan is fully implemented. And for now, a more detailed review of the company’s financial and operating performance, I will turn it over to our CFO, Erns Loubser.
Erns Loubser: Thank you, Bill. As Bill mentioned, revenue for fiscal 2022 increased by 32% to $69.1 million as compared to fiscal 2021 and 50% to $21.1 million for Q4 2022 as compared to Q4 2021. This was driven predominantly by the completion of the Success TMS acquisition in Q3 2022 and Achieve TMS East/Central acquisition in Q4 2021. Average revenue per treatment decreased by 4% to $221 million in fiscal 2022 as compared to fiscal 2021. The decrease was predominantly -- primarily attributable to the geographic distribution of revenue. Same-region sales growth was 9.7% in fiscal 2022 as our core established region shows a resilient performance and continue to grow. Fiscal 2022 resulted in entity-wide regional operating loss of $2.1 million, as compared to an entity-wide regional operating income of $0.3 million during fiscal 2021, predominantly due to operating 183 active TMS treatment centers as of December 31, 2022, as compared to 147 active treatment centers as of December 31, 2021. Entity-wide regional operating loss was $0.1 million during Q4 2022 as compared to a small regional operating income during Q4 2021. The increased loss position were primarily as a result of incurring duplicate costs of the combined business subsequent to the acquisition of Success TMS arising from additional operating synergies not yet executed and increased marketing spend. As Bill mentioned, we were very excited about the potential of the significant amount of new leads and the positive trend and forward-looking indicators late in Q3 2022 into Q4 2022, we previously reported. Unfortunately, the pipeline did not translate into new patient starts as ongoing integration initiatives paid with a significant pipeline overwhelmed our team during a significant transition period and resources were spread too soon [ph]. Despite these challenges and turbulence was caused, we came away with some key learnings, which was the catalyst for the restructuring plan, where we are condensing our footprint, enabling to concentrate marketing spend and other resource for more effective outreach, conversion and treatment. Corporate G&A increased by 27% to $26.2 million during fiscal 2022 as compared to fiscal 2021 and by 18% to $5.9 billion during Q4 2022 as compared to Q4 2021. This increases were predominantly due to the Success TMS acquisition. We believe that we can reduce corporate G&A cost significantly as part of our restructuring plan. The loss for the period and comprehensive loss for the -- during fiscal 2022 was $62.4 million, predominantly due to the impairment loss of $20.7 million recognized, which was necessitated by the restructuring plan and current market conditions. Despite these impairment charges, the company believe it can improve its financial circumstances significantly in the near-term as we execute on the restructuring plan. From a balance sheet perspective, the accounts receivable balances at the end of fiscal 2022 increased by $2.9 million as compared to the end of fiscal 2021, primarily due to the acquisition, offset by improved collection activity. Cash at the end of fiscal 2021 -- 2022 was $2.6 million, including restricted cash, putting pressure on our liquidity position, which we subsequently addressed through additional financing from our supported insiders and lender. Moving on to our core operating metrics. As of the end of fiscal 2022, the total treatment centers increased by 23% to 183 from 149 a year ago. As mentioned previously, subsequent to the acquisition of the restructuring plan, we will be operating 103 -- 133 treatment centers. Compared to fiscal 2021, the number of consultations performed increased by 97% to 27,831, while the number of new patients starts increased by 44% to 9,253 and the number of treatments performed increased by 38% to 312,940. Compared to Q4 2022, the number of consultations performed increased by 216% to 11,215, while the number of new patients starts increased by 67% to 2,779 and the number of treatments performed increased by 58% to 9 -- 59,789. These increases were predominantly due to the completion of Success TMS acquisition in Q3 2022. Overlaying the Success TMS intake progress across our existing platform, as well as increased marketing spend, as I previously mentioned. We believe that devoting more resources and focus to our best-performing centers through the restructuring plan and robust growth of our Spravato program will be the catalyst for future revenue growth despite the reduction in centers. Back to you, Bill.
Bill Leonard: Thanks, Erns. Despite facing some recent turbulence, we believe mental health remains a key focus in the United States and the unmet demand for treatment remains an all-time high. We continue to offer innovative solutions for this unmet need and our leadership position and nationwide footprint continues to serve as a valuable platform to bring that needed help to patients. We are particularly excited about the rollout of Spravato program, where we have more than tripled our footprint during fiscal 2022. We continue to make progress on the restructuring plan and showed a resilient performance in the core regions of the business throughout fiscal 2022. We believe that we are now well positioned to reduce the business cost structure to operate profitably. Before ending, I would like to take a moment to thank our amazing team. We’re extremely proud of them as they continue to deliver the highest levels of care. Most importantly, we know that we’re making a difference. We now have treated over 30,000 patients with over 1 million treatments performed. We’re having a significant positive impact on the lives of so many people suffering from mental health disorders. We look forward to keeping you updated on the progress of the company. Thank you for your time today. And with that, Operator, we will now take questions.
Operator: Thank you, sir. [Operator Instructions] And your first question will be from Frank Takkinen at Lake Street Capital Markets. Please go ahead.
Frank Takkinen: Hey. Thanks for taking the questions. I wanted to start with a follow-up related to your comments on learnings from the marketing spend in Q4 of last year. I was hoping you could speak to those a little bit more directly and maybe talk to how you expect the new marketing strategy to manifest itself in the financials in the front half of this year and into the back half of this year as well?
Bill Leonard: Yeah. Thanks, Frank. Appreciate that. For us, we did a great job of driving patients and leads to the portal. We overwhelmed our -- we overwhelmed the system somewhat. Obviously, it was two big companies integrating. We were going through training, expanding our call center and we just overwhelmed them. And I think a couple of lessons we learned were the fact that take that spend and focus on the centers that are driving the most revenue to our system that really have the doctors in place, the staff in place that has great ability to close patients. And so that was -- that what really was the catalyst to kind of look at the footprint, reduce it somewhat where we’re still accessing those patients within that marketplace, but we can drive those patients to particular centers with the resources in place that allows us kind of the capability of kind of providing the care needed. And we do expect that to kind of continue with a more streamlined approach to marketing, obviously, through our DTC and also our sales reps in the field who are really generating a ton of business from the community-based behavioral health -- behavioral therapists and doctors in the community.
Frank Takkinen: Okay. That’s good color. And then maybe for my second one on Spravato, it sounds like there’s -- there continues to be really solid progress there. Can you maybe speak to your expectations around network-wide penetration by year-end or over the next couple of years that you expect Spravato to get into? And maybe as a second part to that, any updated thoughts around buy and bill within that line item?
Bill Leonard: Yeah. Good question. Look, we’re really pleased with Spravato last year. We ended the year right around 40-plus centers. Those centers ramped up throughout the course of the year. So if you looked at the contribution at the end of the year, we liked what we saw with them. We would expect that -- we would expect to kind of shoot for a target almost doubling that for 2023, which will add significant revenue to the pipeline with Spravato. As we have said in the past, we’ve taken a very conservative approach to Spravato in terms of our billing methodology, which is really administered and observed. We do expect to pilot buy and bill this year at a number of centers to learn from that experience as well that will drive a higher contribution to the centers. We don’t have a date for that to start, but we are looking forward to a small number of our centers really diving in with buy and bill. The key to buy and bill is not only we generate higher revenue but a higher profit -- higher contribution. More importantly, it does give you access to all the payer plans in place that are covering Spravato. So I’ll have more information for you on our Q1 call as I believe that’s going to be scheduled out about three weeks from now.
Frank Takkinen: Okay. Perfect. And then just last one, maybe if you could level set us all, Erns, on the post-restructuring operating expense structure. What are we going to be looking at for operating expense run rate at that point once we see the $22 million to $25 million in savings?
Erns Loubser: Sure. In terms of, so as we said, we target $22 million to $25 million in savings. That is all encompassing. So both on the corporate and the direct patient and center side. So if you look at kind of where we want to be getting, there’s obviously variable and non-variable cost there. We want to operate direct center and patient care costs at around, call it, the $12 million mark with obviously a ramped revenue. But more importantly, we want to generate kind of a 55% margin after direct patient center and patient care costs. That’s really the target that we’re going for. Other regional incentive support costs, once again, as we mentioned, we’ve reduced marketing very significantly, which forms part of the restructuring and through the learnings. So we were operating at kind of between Q3 and Q4, almost a $4 million run rate of regional marketing spend. We are giving a significant haircut to that. So we’re going to be operating depending on the revenue levels at kind of between $5 million and $6 million cadence there. And once again, we want the regional operating margin, which is really the important metric to be north of 20% going exit run rate in Q4.
Frank Takkinen: Okay. That’s good color. Thanks for taking the questions.
Operator: Thank you.
Bill Leonard: Thanks, Frank.
Operator: Next question will be from David Martin at Bloom Burton. Please go ahead, sir.
David Martin: Hey. Good morning, Bill and Erns. You mentioned that you’re still accessing patients in the regions where you’ve closed centers. Does that mean you still got all regions still open and is it going to cut down on your ability to reach as many patients in that area or do you find they’re willing to travel further?
Bill Leonard: Yeah. Really good question, David. For all markets, we will still be existing, except for Delaware and Iowa, and those were very small markets for us. I think Delaware contained two centers and Iowa contained three centers, and Iowa was relatively new start from the central achieve. So we do believe we can still access patients within our core centers that remained open and I think it’s -- you’ve got to look at it in two ways. One is TMS still requires that patient to come on a daily basis. We do believe we have enough centers in play to allow us to access those patients. And with Spravato, we’re seeing patients have the ability to travel a little further out because you don’t have to be at the center on a daily basis for that period of time of six weeks. So we feel really good about our current footprint. We basically consolidated to some regions, which is one of the lessons we learned with our acquisition of Success and was they had less centers, larger centers, we had more centers, but I think we took the best of both worlds and really kind of consolidated to a number of centers that meet the demand, provide some cost savings and also allows us to access patients for both TMS and Spravato.
David Martin: Okay. Thanks. You’ve talked in the past about timing to get to EBITDA breakeven, what are your thoughts now? When you say 20% margin exiting 4Q, is that breakeven for you?
Erns Loubser: Yeah. That’s moving towards breakeven. So I think the key here is to execute the restructuring plan. We obviously want to take $22 million of cost out of the business. We anticipate that the restructuring plan will be fully implemented by the end of Q4 going to Q1 and that’s kind of the timing that we expect to reach breakeven as well.
David Martin: Okay. And last question, you mentioned the steps towards improving the translation to new patient starts. Are you seeing success on that front now? Have you turned that trend around?
Erns Loubser: Yes. For sure. So if you look at and that’s part of kind of the cost synergies already realized. In terms of going into Q1, we obviously significantly reduced our marketing spend, which will naturally lead to lower leading indicators but substantially and we’ve had a fairly steady revenue on that front. So revenue as whole from a daily perspective. So we’ve already become more efficient as it relates to that.
David Martin: Okay.
Erns Loubser: Sorry, does that answer your question?
David Martin: Yeah. I am just wondering like the bottlenecks that you were facing, that...
Erns Loubser: Okay.
David Martin: … you are not facing it anymore?
Erns Loubser: Yeah. I think that’s really in the restructuring plan. What we did there is, instead of spreading our marketing dollars, which is more costly across the wider geographic distribution, which costs more and is more inefficient from a convergence standpoint, we’ve now condensed [ph] that. So, for example, instead of spreading in Maryland, Delaware, spreading a doctor’s time between three locations, we have now condensed two doctors to a certain one location, which gives you more scheduling flexibility to generate better conversions. Similarly, coordination time is now focused on leads that is more likely to convert and then we gave -- and we obviously then have a focus and a higher conversion rate. Similarly, the support resources like the RCM functions are not spending time on leads that is unlikely to convert where we don’t have the appropriate infrastructure in place and we’ve already seen kind of that yield results going into Q1.
David Martin: Okay. Thanks.
Operator: Thank you. [Operator Instructions] And at this time, gentlemen, it appears that we have no further questions registered. Please proceed.
Bill Leonard: Well, thank you for your time today. We appreciate the opportunity to update you on the company. And as I said earlier in the call, it’s a short turnaround. We’ll be announcing our Q1 results here in a few weeks. So we look forward to talking to you that time and showing the progress on the restructuring plan. Thank you again for your time.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude the conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.